Executives: Dan Zajdel - Vice President of Investor Relations Nicholas J. DeIuliis - Chief Executive Officer, President and Director David M. Khani - Chief Financial Officer and Executive Vice President Timothy C. Dugan - Chief Operating Officer James C. Grech - Chief Commercial Officer and Executive Vice President of Energy Sales & Transportation Services
Analysts: Paul S. Forward - Stifel, Nicolaus & Company, Incorporated, Research Division Dae K. Lee - JP Morgan Chase & Co, Research Division Caleb M.J. Dorfman - Simmons & Company International, Research Division Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division Neil Mehta - Goldman Sachs Group Inc., Research Division Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division Lucas Pipes - Brean Capital LLC, Research Division Holly Stewart - Howard Weil Incorporated, Research Division Alexander Levy - Morgan Stanley, Research Division Michael S. Dudas - Sterne Agee & Leach Inc., Research Division Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the CONSOL Energy Third Quarter 2014 Results Call. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Mr. Dan Zajdel. Please go ahead, sir.
Dan Zajdel: Thank you, Tom, and good morning to everybody. Welcome to CONSOL Energy's third quarter conference call. We have in the room today Nick DeIuliis, our President and CEO; David Khani, our Chief Financial Officer; Jim Grech, our Chief Commercial Officer; and Tim Dugan, our COO of E&P. Today, we will be discussing our third quarter results. Any forward-looking statements we make or comments about future expectations are subject to business risks, which we have laid out for you in our press release today as well as in our previous SEC filings. We also have slides available on the website for this call. We will begin our call today with prepared remarks by Nick, followed by David. Tim and Jim will then participate in the Q&A portion of the call. With that, let me start the call with you, Nick.
Nicholas J. DeIuliis: Thanks, Dan, and good morning, everybody. Dave Khani is going to cover our quarterly results in detail in a few minutes. But first I wanted to spend some time to highlight where we're heading into year-end 2014 and beyond and also discuss a couple of points on how we view some industry trends that are out there. And we can start with the major achievements and results from the quarter. When you look over to the E&P segment, we see that the third quarter was yet another breakthrough quarter. We've had a couple of those in a row now as momentum continues to build in the execution of the growth targets that we had previously laid out to the investment community. So looking at the Marcellus. It continues to establish new record levels of production and what we'll call "economies of scale driven" lower unit cost. We anticipate that the Marcellus field is going to break through the 1 Bcf per day threshold on a gross basis before year end, and in fact, probably in a matter of days from now. We saw that the third quarter all-in unit costs in the Marcellus were at $2.69 an Mcf and cash costs were $1.58 per Mcfe. Those numbers are hard evidence of cash flow generation and strong rates of return. These production milestones and unit cost results in the Marcellus, they're not just because of increased drilling rates, but they were also driven by the lean manufacturing and continuous improvement metrics that we've been applying in, basically, every activity and discipline within the chain of development. So everything from the geology identifying potential locations at the start of things, all the way through to the ultimate sale of gas to an end market. And by the way, all of this, of course, is great news for our friends over at our CONE MLP. Now over in the Utica Shale, the production ramp is on a very steep trajectory, similar to what we saw earlier on in the Marcellus. Our year-to-date production has grown in our operated portion of the JV by approximately 3,400%. So again, a very steep trajectory to say the least. And this significant level of growth has led us to increase our 2014 contribution and guidance by 3 Bcf for the year. Our results have been so encouraging and we're actually turning more attention to increasing our handling and processing capacity for our liquids production. So that's a short-term challenge but a very good problem to have, especially when you consider that we had sized much of our downstream capacities, not just assuming success, but with design factors above and beyond the expected. It's just that our ability to efficiently develop and produce the commodity, that's outstripped our downstream capacity. Bottom line is that the wet Utica is a major contributor to production and earnings, not tomorrow but today, and the Utica has arrived and is now a big player at CONSOL Energy. The remarkable momentum that we've seen on the E&P segment has placed us in a position to increase our 2014 production guidance from the 225 to 235 Bcf range that we had to a new range of 235 to 240 Bcf. And yes, we plan on achieving 30% production growth that uses the final 2014 production result as the baseline. So we're effectively raising 2015 and 2016 E&P production guidance as well. When you shift over and look at coal, you see the third quarter posted results that we're very proud of, and we did that in the middle of a very challenging market. On the Pennsylvania operations side, our 3 coal mine, 5 longwall complex fought through some stingy, lingering geological issues at Enlow Fork to deliver on our production targets for the quarter. And despite those conditions that we fought through, thermal year-to-date cash costs are lower than those for the same period 2013. It's a good sign of continuous improvement. Our marketing effort for our Bailey coal brand is unfolding just as we strategically envisioned. We are out there tactically executing turn business with must-run power plants that are in our core market regions for the next 3 years. So as an example, since our last earnings call, we've executed 3 major coal deals with critical must-run power plants. We've got 1 in the Northeast, 1 in the Midwest and 1 down in the Southeast. We don't see any basin. We don't see a competitor mine that's out there that can deliver the total combined package of everything from surety of supply to Btu content, dual-sourced rail, environmentally compliant and low-cost coal that our Pennsylvania operations provide. And since we are rapidly selling out the 2015 Bailey portfolio, we're going to place the tons we have left to sell with customers that place a value on the quality, on the reliability, on the service that we provide. Customers, basically, that we are strategically aligned with for the long term. On the met side, at our Buchanan complex, we continue to drive down unit cost despite a decrease in production volumes in a very difficult market environment. Third quarter saw the Buchanan complex post all-in costs that nearly broke below the $60 per ton threshold, and that was done at a reduced production level. Buchanan remains an earnings and cash flow contributor while we're riding out that market trough. And most importantly, we're poised and prepared to return Buchanan to its historical production levels when that market rebounds. That's the advantage of being a low-cost producer. So as active as our E&P and coal segments have been this year, it's been just as active for what we refer to as our other segment. Our non-core monetization effort has been process driven for over a year now, and we feel confident that we're going to hit the $1 billion mark for proceeds within the 5-year target that we laid out at our June Analyst Day. Even in a really challenging market for sellers of assets, we're ahead of that schedule. And since our last earnings call, including after the close of this quarter, we concluded the sale of various assets that generated around $75 million in immediate cash proceeds and have a total consideration that we're going to receive of around $86 million. When you add to that the proceeds from the CONE MLP IPO, we're currently around the $300 million mark year-to-date, and these transactions put the 2014 and the 5-year non-core asset sales programs ahead of schedule based on our previously stated goals. Moreover, the effort has the hidden but very powerful benefit of concentrating our focus, management's focus, and time on the 3 segments that truly matter to our shareholders. That's E&P shales, thermal coal and met coal. We continue in the other category to modernize our debt instruments to fit the CONSOL 2014 and the CONSOL of the future. That means competitive rates, but it also means flexibility with covenants that are only going to add to the optionality for CONSOL when looking at future opportunities. And by the way, all of this activity has been going on in 2014. In addition to that, the company's balance sheet has improved to a level not seen in many, many decades. If you look at the snapshot comparison between today and less than a year ago, that snapshot tells a story. Less than a year ago, our retiree health care and pension obligations were over $4 billion. Today, that number, all-in, is around $766 million and should decline steadily over time. CONSOL has never been in such a position of strength when it comes to balance sheet liabilities and the shareholders stand to benefit greatly from the strength in the coming years and in a big way. Now Dave, as I said, he's going to have much more to say on the quarter and where we're heading into year's end. I want to spend, before that, a couple of minutes picking up on one of the key themes from our second quarter conference call, that's NAV per share, which drives our decision-making when it comes to operating cash flow deployment. The biggest areas where management can make a difference in value creation for shareholders is in the efficient execution and in putting operating cash flow to work in the right places at the right times. So what does that mean? That means in addition to growing gas production and reducing coal cost and maximizing gas and coal unit revenues and creating a fortress balance sheet, all those things that we just spoke about, we also need to find ways to increase transparency across segments. We need to create optionality for use in creation of liquidity. And we need to do those things while we retain and preserve numerous operating and market synergies that we enjoy by controlling our 3 main segments in Appalachia. So when you take those 3 drivers, first one being increased transparency for an asset or segment; second one being trading new liquidity avenues; and the third one, preserving synergies and control, you can see why we ended up creating the CONE MLP with our JV partner. The IPO, of course, was a success, and we think that the CONE entity is going to thrive into the future. But that was just one structural opportunity. There are others out there for us to assess and execute upon. What do we like and what are we looking for? Again, like CONE, we're looking for standalone transparency. We're looking for new avenues of liquidity optionality and capital goals, and we're looking to preserve synergies with control. Where are we looking for these to be applied to? Our 3 segments that matter the most: Marcellus and Utica shales, thermal coal segment and met coal segment. So we're far from done. Stay tuned as we come into year-end with where we think the next opportunity is going to reside. On the issue of share count, we stated on the last earnings call that issuing equity at this point in time, especially with our current valuation, is simply not an option. We're focused in the opposite direction, which is reducing our share count as quickly as we can while balancing various interests such as production growth, debt levels, cost of capital, et cetera. So identifying and executing some of these structural opportunities to enhance NAV per share, it could also have the added benefit of increasing liquidity for things like share count reduction. Last but not least, before turning things over to Dave, we wanted to wrap with some commentary on what we're seeing within the industry. Times are very, very trying in the coalfields, and that's true for both companies and families. At CONSOL, we are wired to compete. It's in our DNA, but that still makes it tough to see the degree of pain that is out there. We don't expect the environment to improve anytime soon. And in fact, it's going to probably get worse before it gets better. And there are going to be casualties. We think we've reached the point of no return for some that are out there in the coalfields. But like any commodity, these down cycles, they bring balance and they bring equilibrium back to the market. And these down cycles often lead to sharp up cycles. The key for CONSOL shareholders is to realize that we're positioned to produce strong results while riding out the down cycle, and we're optimally positioned to ride the up cycle when it occurs, to its maximum level and drive. Between the Pennsylvania thermal and the Buchanan met operations, you couldn't ask for a more strategically advantageous position within North America. Let's let supply and demand work and do their thing. And when it does, CONSOL shareholders will be the beneficiaries in a very big way. On the E&P side, we've got what we believe to be a very interesting situation developing. It wasn't too long ago, maybe as short as a couple of months ago really, where any producer would be able to make a go at it in the capital markets by simply quoting an acreage count in Pennsylvania, Ohio or West Virginia, highlighting some unofficial 24-hour open flow rate from a well in one of those states or something of the like. On top of it, if you put out a nice production ramp increase and you talked a good game, the money came flowing in, whether it was through the debt or equity market. Suddenly, those days are gone. Gas prices are below $4. Appalachia's facing substantial negative basis differentials, and many entities out there in the field are highly leveraged and burning cash flow. On top of that, a lot of entities have written checks in the form of long-term take-or-pay firm transportation commitments that they won't be able to back in the current environment. So who's going to thrive and who's going to struggle in this new environment? We think that the answer to that question can be found by having a holistic understanding of the total actual costs associated with production. For example, in the Marcellus and Utica fields, it's not just the cost tied to extracting methane or liquids anymore. It's the interest payments on growing legacy debt. It's about the take-or-pay FT payments that are debt-like in nature. It's about growing fixed costs due to overhead and regulation, and it's all about the costs associated with keeping up on that treadmill of lease drilling commitments and the like. You add on top of this lower commodity prices in the short term, and you could see a rapid and significant turn for the worse for some industry players. In contrast, CONSOL is very well positioned in this environment. Our recent accomplishments and our transformative journey, our execution plans in front of us and our philosophy on NAV per share on capital allocation, those things, they place us in the driver's seat to excel. As other Marcellus and Utica producers begin to stumble in a new world order, CONSOL is positioned to grow NAV per share. You can't find a better investment opportunity on the game board today. Thanks. And with that, I'm going to turn it over to Dave Khani now.
David M. Khani: Thank you, Nick, and good morning, everyone. Today, I will provide an overview on the quarter as well as update on our accomplishments and key metrics. We've posted a comprehensive slide deck to our website, and my prepared comments will mainly tie to slides 10 through 16 and 147 through 174. Now before I launch into the quarter, let me sum up some 4 key points, touching upon some of Nick's comments. First, our diversified portfolio of Tier 1 assets and products enable us to manage commodity risk differently than most of our pure-play E&P or coal companies. While met coal prices are hovering around the bottom and natural gas prices have been very volatile, our strong thermal coal and rising liquids portfolio provide much better revenue visibility. Also, we can capitalize on flowing diesel and other commodities to lower our cost structure. Second, our E&P operations are posting very strong results in both Marcellus and Utica. This will enable us to continue to drive down operating costs and capital intensity in our business. We placed 63 gross Marcellus wells and Utica wells online in the third quarter, including 8 recompletions. Our 30-day IP rates in the Marcellus have increased 80% year-to-date to about 9 million cubic feet equivalent a day. This is from a combination from longer laterals and proving type curves. On the coal front. Despite facing operation channels, as Nick had mentioned, during the last 2 quarters, our coal team has found ways to produce at the high-end guidance and lower year-over-year cost per ton. On our balance sheet. There have been several quarters of unusual items. Many of these are a function of this management team taking an active approach toward streamlining the balance sheet, and over the 4 -- course of 4 quarters, we have trimmed about $315 million of annual expense from refinancing our debt, trimming our legacy liabilities, cutting administrating and operating expenses and reducing our environmental liabilities. The risk profile of our balance sheet is vastly different than a year ago. Now let me focus on the bottom line. The adjusted net income for the quarter, excluding onetime items, was about $20 million or $0.09 per diluted share. Our third quarter adjusted EBITDA and operating cash flow totaled $236 million and $293 million, respectively. The third quarter results included the impact of several transactions, including the early extinguishment of a portion of our 2020 notes, a noncash charge associated with our pension settlement accounting and a net expense due to the changes to our pension and OPEB plans. In total, these transactions reduced net income about -- by about $22 million net of tax or about $0.10 per diluted share. After including these items, CONSOL Energy reported a net loss of about $0.01 per share. Now let me focus on our important metrics. First, for production. As Nick highlighted, we raised the production guidance by about 3% to 38% while maintaining our 2015 growth rates at 30%. The main drivers for this 7.5 Bcf increase is our growing wet and growing -- Utica and Marcellus production. Second, we continue to raise our recycle ratio, which is more than doubled over our historical average to nearly 3x from about 1.4x. This has been achieved through the transitioning from investment phase to production growth, declining in the cost as well as higher level [indiscernible] production. This shift accounts for our strong E&P margins of $0.85 that we saw during the quarter, despite pressure from winding basis differentials. Third, on coal. Through 3 quarters, our coal business generated about $650 million of cash flow, and we should meet or exceed our $800 million target, as we defined in our Analyst Day material. Fourth, reducing our value at risk, or VaR. We have locked in meaningful percentage of our open coal position, as Nick highlighted, with multiyear contracts, and we maintain an active hedge program for our natural gas. The goal is to protect cash flows, capture upside when available and provide predictability. For 2015, we are about 50% to 55% contracted and hedged on our expected revenues. Overall, we are on track with last year's pace and anticipate that we'll be at least 65% contract in hedge by the start of the year, and this should reduce our VaR from about 6% down to about 4%. Now during the quarter, as Nick highlighted, we've implemented 3 significant items that helped lower our cost of capital and improve our balance sheet. We closed on an additional $250 million of our 5 7/8% senior notes with a maturity of 2022, with an effective yield really of 5.3%. In essence, we lowered our interest rate by about 3%, which will reduce our annual expense by about $5 million. We remind you that to date, we have refinanced $1.85 billion of our public debt and $2 billion of our credit facility. In all, this should save us about $30 million going forward. Second, with our MLP, along with our JV partners, CONSOL executed the MLP IPO of our Marcellus Shale midstream energy assets that service Pennsylvania, West Virginia. The initial public offering raised net proceeds of $440 million, of which $204 million went to CONSOL. The MLP has an effective yield of about 3%, and our LP and GP ownership position is worth about another $2.30 to CONSOL. And then third, realigning our OPEB and pension liabilities. During the quarter, the company has chosen to amend its pension and retiree medical obligations, which -- that will better align our retired benefit program with industry peers. Specifically, this should translate into another $60 million to $65 million of annual expense reduction for 2015. Over the next -- over the past 12 months, we expect that the on and off balance sheet liabilities will reduce by about $3 billion. The corresponding annual service expense over this time period has declined from about $250 million to $100 million going forward in 2015. Now let's look at our operating details and expected projections. In our E&P division, production was a record 64.9 Bcf or 41% higher than the third quarter last year and up 25% sequentially. Unit prices did decline 23% to $3.90 versus the year-ago period. Included in the average realizations was a recognized hedging gain of $0.36 and a liquids uplift of $0.37. Liquid production represented 10% of our E&P volumes and 18% of our revenues. Our expectations remain constant with our 2014 liquids percentage of 5% to 8%. During the fourth quarter, we expect to add about up to 70 gross Marcellus and Utica wells, of which 75% will be wet. For 2015, we continue to expect our liquids representation of 10% to 15% on our E&P volumes. Now let's look at natural gas prices in more detail. Basis issues continue to get worse as production in the basin rises and weather for the summer months was materially cooler than normal. June through August cooling degree days within the Mid- and South Atlantic region came in 14% below normal and 12% below last year. Basic impact for open volumes were about $0.91 per Mcfe -- per Mcf and should hover somewhere between $0.80 and $1.10 for the fourth quarter, weather dependent. However, to put this in perspective, our basis for the year will probably average between $0.40 and $0.50 per Mcf. Now CONSOL manages our netback pricing through our formal hedging program and diversifying our market efforts through multiple pipelines, which are outlined in our slide deck. We are continuously looking at diversifying our portfolio, which is illustrated through our new projects that we are participating in, such as the Nexus line to the Midwest. Our hedges, including basis hedges, are outlined in our earnings release, and our pipeline capacity and sales points are located within our marketing section in the document on Page 112. This flexibility to ship on multiple pipelines, combined with our hedging program, helps maximize our netbacks. Now let's look at E&P cost. Even though our realized price declined by $0.23 as compared to the year-ago quarter, our margins remained at about $0.85. Unit costs played a strong role as overall costs declined 3%, but Marcellus and Utica Shale all-in costs came in at $2.69 and $2.37 per Mcfe, respectively. We continue to make progress on the cost efficiencies that we illustrated at our Analyst Day and our increased stages for completion per day as well as decreasing number of rig move days, these fall metrics add up in a big way to large savings for the company, and we remain on track to realize our target of 50% reduction through 2015. Our goal remains for the E&P cost to decline 5% to 10% annually over the next 3 years, and we are on track to meet or exceed these goals. Now looking at the Coal Division. Overall, coal had a good quarter as we exceeded production guidance. As the company continued to fight through these geological issues at Enflow Fork, we believe that operations have now resumed a more normal level. Expect this to result in a meaningful cost improvement in the fourth quarter for this division. This is the 13th quarter out of 15 that we've met or exceeded guidance as we remain laser focused on consistency of production quarter-to-quarter. Now Corporate and Other. Our corporate teams are all on a mission to drive our NAV per share higher. As mentioned earlier, we have several initiatives in place within our supply chain group to streamline our coal and gas standard groups, standardize our processes and reduce our inventory levels. Supply Chain Management had delivered over $15 million of savings/NAV benefits in 2014. And we are well on our way to increase another $7 million in 2015. Now looking over liquidity. We've improved liquidity by about $80 million sequentially to $2 billion and expect to maintain this level of liquidity through the remainder of the year. With this strong level of liquidity improving cash flow, our net debt to EBITDA has declined again to 3.5x as of September 30, 2014. Remember, our goal is to stay between 2x and 3x. So we remain on target to get to these levels that we set at our Analyst Day. Now to sum up the quarter, we've been very active on both the operating and corporate side to build shareholder value. It is our intent to accelerate the time period for sustainable free cash flow and ability to buy back stock, as Nick has highlighted. Now how do we get there? We lower the capital intensity of our businesses -- of E&P business. We generate our strong free cash flow on the coal side. We continue to monetize our assets. We -- our corporate teams will find ways to bring value forward, and we will look at other structural actions like CONE. Now Nick mentioned that we are assessing different structural opportunities for CONSOL Energy. Let me provide a little color. When we look at our strong cash flows generated by our thermal coal operations, especially as we are able to contract those tons over a longer term, we see the opportunity for a thermal coal MLP. On the met coal side, we are looking at various structures to capitalize on the potential rebound in the met market, our low-cost position and strong management team. In all, our actions are trying to maintain control, drive NAV per share up and provide the market transparency for shareholders that truly value the sum of the parts correctly. At this point, we are now evaluating feasibility and structure of these transactions. We do not have board approval, but we did want to give you a sense of what we are looking at. Our teams have gotten adept at these types of transactions, and we expect to announce the direction before the year ends and with an eye of executing in 2015. So while I did not think we could top the activity levels of 2013 and 2014, we look to have a very active next 6 months. Now I'd like to open it up to questions.
Nicholas J. DeIuliis: Tom, could you please instruct our listeners on how to queue up?
Operator: [Operator Instructions] Our first question is from the line of Paul Forward with Stifel.
Paul S. Forward - Stifel, Nicolaus & Company, Incorporated, Research Division: On the -- just wanted to ask, I guess, on the question of the thermal coal MLP, David, that you just talked about. I know you're just evaluating it, but can you talk a little bit about -- I assume that would include all of the currently existing mines. Is there -- would it include all of the coal business, including other assets that might not be mining assets? How do you think about -- what might be considered for inclusion in a thermal coal MLP?
David M. Khani: It's a good question, and it's part of what we're doing with our analysis and with our consultants. And so what we learned with our coal -- I'm sorry, with our CONE MLP is the structure of that CONE MLP was very unique. We created development companies to effectively create very high growth rates. And so we want to look at what is the optimal structure for this CONE MLP. So that's probably the best I can give you right now. I'd say stay tuned, and it's part of our -- it's part of the work we're working on.
Paul S. Forward - Stifel, Nicolaus & Company, Incorporated, Research Division: Okay. And then just thinking about coal still. On this transaction that you did in the Illinois Basin, can you give us any sort of metrics as far as how many tons of reserves or resource were included? And did that consist of the whole $86 million of asset sales during the quarter? Was that all of this reserve sale in Hamilton County, Illinois?
David M. Khani: No. No, we -- it is essentially 85 million tons of reserves. And we're about $15 million. So this -- I'm sorry, 15 million tons of proved reserves. And so it -- we're looking at probably several transactions coming up. And I think it is about 1/3 -- roughly 1/3 of the dollars. It's a little bit less than $30 million of cash proceeds. And we think there's more to come. We have several other things that we are working on besides the Illinois Basin that, hopefully, we will be able to announce in the fourth quarter.
Operator: Our next question is from the line of Joseph Allman with JPMorgan.
Dae K. Lee - JP Morgan Chase & Co, Research Division: This is actually Dae Lee calling in for Joseph Allman. My question is about the stacked pay potential. So in the new JV acreage and elsewhere with that pay potential, is the plan to drill all the stacked formation at once? Or drill one formation for now and come back later for the others? And why one plan versus the other?
Timothy C. Dugan: I think that will vary by area -- this is Tim Dugan. But as we look at that, that will depend on takeaway capacity, processing capacity, whether or not we're -- our stacked pay will have some wet gas, some dry gas, whether there's a benefit from blending. So there's a lot of factors that will go in to how we develop the stacked pay potential.
Operator: Our next question is from the line of Caleb Dorfman with Simmons & Company.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: So I know that you're really committed to the 30% gas production growth target. What would cause you to potentially slow down the drilling? What type of gas prices would we need to actually see in the Marcellus?
Nicholas J. DeIuliis: I think the answer to that, we look at our capital allocation. When it comes to the E&P growth, as it relates to rate of returns versus our cost of capital. We think that's how we grow NAV per share. We've got the liquidity to continue on the 30% track. And we use an outward-looking price deck when we're calculating our rate of return. So it would take a substantial collapse in the forward price deck, not just up a month or a prompt month for us to see returns that dip below our cost of capital to give us a different point of view. And that's something that we're far from at least at this point in time.
David M. Khani: Yes, in addition, Caleb, we're driving cost down. And so there is also the benefit of the learning curve and as well as cataloging the value of some of the other horizons. And so we want to make sure that we're capturing all that into our decision-making.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: Okay, that's helpful. And I know, David, you've talked about sort of wanting to be a different type of E&P company, wanting to more focused on being cash flow breakeven or close to cash flow breakeven, I guess, with losing the carry in the coming months. How do you attempt to bridge that gap? I know asset sales will help, but it seems like there still might be a little bit of a gap.
David M. Khani: Yes. It will come by some of Tim's work and his team and the ability to reduce the capital intensity as well as Jimmy Brock and his team trying to take costs out of the coal side. If you notice, they've been doing a very good job both sides of taking that out. And so between those 2 things, we have reduced a lot of the balance sheet costs. And so if we continue to do that from a corporate -- department heads, hitting some of these things, we will find ways to close the gap. And we're going to lose the carry any moment, but we will find ways to offset that.
Caleb M.J. Dorfman - Simmons & Company International, Research Division: Do you think CapEx could potentially be down next year?
David M. Khani: Well, the only thing I will tell you is the coal side should be down because we don't have the growth CapEx in for the first quarter that we experienced. So that's probably the best thing I can tell you about. Right now, we're in the budgeting process for E&P business right now. And I will tell you, even the numbers we eventually put out, I feel like, over time, because of cycle times are getting better, we'll find ways to probably even come in under a number that we put out there.
Operator: The next question is from the line of Neal Dingmann with SunTrust.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: Say, just a question around, obviously, you mentioned the thermal coal MLP. If -- is there a potential on -- down the road either with the high-vol or low-vol in packaging one of those if you get more contracts? I just want to see if I understand that correct.
David M. Khani: Well, it's a good question, Neal. What we're trying to assess is how do we hit the key areas of transparency, control and NAV per share value uplift. So that's -- I think we have -- we're a little bit further along from an understanding of what to do on the coal MLP side. On the met coal side, we're trying to think about the structure that we can hit those 3 key areas and capitalize on what we think eventually will be a rebound and also the fallout of the coal space.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: No, that makes a lot of sense. Okay, and then switching to E&P. Just wanted -- obviously, you all like everybody else, continues to get hit on some of the realizations in the area. And you obviously have some great JVs in place, both in the Marcellus and in the Utica. Your thoughts about maybe cutting at least temporarily your own spending and, obviously, just relying more on the JV, as I think the total spending was around $400 million, of which I think 70% was from the all-in and the 30% was from the 2 JVs. So just, Nick, your thoughts with kind of given the environment we're in right now, I know you've got a lot more FT coming in. So maybe that will end up being the ultimate driver. Just your thoughts as far as sort of spending when you look at 2015, if this kind of differential market persists.
Nicholas J. DeIuliis: I think, Neal, there's 2 layers to this. There's the overall objectives for the E&P segment. As we discussed on the first question, we're firmly committed to the 30% production ramp over the 3 years, and that hasn't changed. Then the second layer, I think, is what you're getting at is, okay, if you're targeting 30% production growth, what's the best way to get there, which wells do you drill first based on pricing decks and things like that. And we constantly work with our JV partners to come up with an optimal drill plan for a year out, 2 years out, that reflects the different commodities that would be produced and the pricing and the returns that would come from them. So I think you've seen that, too, unfold throughout 2014. As the production ramp is unfolded, and you see higher and higher liquids representation within the portfolio. So I think you should expect that sort of optimization to continue for '15 and beyond.
Neal Dingmann - SunTrust Robinson Humphrey, Inc., Research Division: Okay. And then just last question. Looks like just the gathering, transportation, that on a per unit basis it looks like that ticked up, and I know you've kind of alluded to a little bit of that in your prepared remarks. Just your thoughts on what you can do around that, I think, on a -- I was just kind of looking at the transportation. I know it continues to be, I think, over $1 an M, or something like that. Your thoughts on that going forward or how that can be sort of contained a little bit or your thoughts what you'd do about that going forward.
Dan Zajdel: Yes, Neal, this is Dan. I think some of the uptick there that you're talking about had to do with increased processing. And one of the things we haven't talked about so far on the call was the liquids uplift that we're getting. And Jim, you've got some detail, I think, on uplift we're getting from liquids and where we plan to go?
James C. Grech: Yes. Yes, I do. What Dan is talking about is on the liquids uplift this quarter, the realization, we have $0.37 of our $3.97 was liquids uplift compared to a year-ago quarter of $0.11. And with the volumes increasing, we're expecting to have at least $0.37 to $0.40 again of uplift in the fourth quarter. So those expenses are in there when you get into the numbers that you're talking about.
Operator: The next question is from the line of Neil Mehta with Goldman Sachs.
Neil Mehta - Goldman Sachs Group Inc., Research Division: So just to explore this idea of the thermal coal MLP a little bit more. There are a couple of public examples of them right now, at various degrees of success. And so just curious, as you look at some of the public examples, what are some of the characteristics -- elements you would think about having? And what would you not want to have in this entity if you ultimately pursue it?
Nicholas J. DeIuliis: I think what we've experienced through the CONE MLP and other types of transactions, we would want as a simple of a story as possible. So you probably wouldn't want different types of market lines or things like that complicating or clouding the water. So a simple pure-play story. Something that's got the bulk of its capital investment and expenditures behind it so that it's poised to operate with low-maintenance production capital and generate those cash flows for the foreseeable future. Again, something that looks towards being able to give a story on the revenue side. Dave talked about that in his discussion. Being able to hedge volumes and put some certainty around the revenue line. I think those are the big ones. And when you look at the PA coal operations in our Bailey Complex, that fits very well that description.
David M. Khani: Yes. I think what you'll -- and I think what we'll want is a distribution growth story that is as good or better than what's out there. And that's what we created with our CONE MLP.
Neil Mehta - Goldman Sachs Group Inc., Research Division: And because there's not necessarily an organic growth story at the coal MLP with BMX now -- or at the coal segment with BMX now complete, the distribution growth would have to be driven through drop-downs, I would think.
David M. Khani: Yes, structured the right way.
Neil Mehta - Goldman Sachs Group Inc., Research Division: Right. And then on the E&P, really a terrific quarter from a production standpoint. Was that simple in terms of exceeding your estimates as just thinking about lateral lengths and type curves? Or is there other stuff that ultimately drove the quarterly beat on production?
Nicholas J. DeIuliis: I think the quality of our wells, the reserves per foot that we're seeing, are increasing. When you look at our producing lateral feet per month compared to our PO, we're actually slightly below that, but our production is above it. So we're getting more out of each foot of lateral. So our enhanced completion techniques, we are seeing the benefits of that. And then also longer laterals are helping us drive our cost down and get more out of each well.
Dan Zajdel: And Neil, that's really important metrics because those are really driving the points that Dave talked about earlier with capital efficiencies, lean manufacturing. Those are the types of performance and execution metrics that will drive future capital expenditure levels, production growth ramps and the efficiencies that those 2 things interacting. Those are things that we spent a lot of time on over the past 18 months, and it's exciting to see them start to come home to roost in the production results that we see quarter-by-quarter.
Neil Mehta - Goldman Sachs Group Inc., Research Division: Makes a lot of sense. And then as production ramps, can you just talk about unit cost in '15 versus '14 at the E&P segment? And just at least give us a directional flavor for how we should think about that.
Nicholas J. DeIuliis: Neil, I think what we feel comfortable right now is saying that, on average, we should see unit cost come down 5% to 10% per year on average. And we're going to try to continue to drive down the Marcellus and Utica, which is our bulk of our incremental production. So we'll do that, we'll obviously have the mix shifts continually from our lower-cost production, those 2 areas, from our higher-cost conventional and a little bit of CBM. So I think 5% to 10% is a comfortable spot. And if we can find ways to take that even lower, we'll obviously do so.
Operator: The next question is from the line of Brandon Blossman with Tudor, Pickering, Holt.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Let's just stick to the gas side real quick. The West Virginia Utica JV, should we expect more of that to come? Or is that a one-off just looking to prove out the stack price potential there?
Nicholas J. DeIuliis: Right now, that is a one-off. That was a very small footprint of our Utica acreage in Pennsylvania and West Virginia that fit very well with the very intense level of drilling that's going on with our Marcellus JV. So it was something that made a lot of sense in the short term and in the long term to help prove out and get a better view on what that Utica opportunity looks like as you move eastward. What we do with the much, much larger footprint, that ties into everything from what Tim Dugan and team are doing with the exploration effort in 2015, which Utica will play a prominent role in that in Pennsylvania, as well as where the industry trends overall in addition to that. So that Utica, as you move east and the hundreds of thousands of acres that we control within CONSOL Energy, that's becoming a bigger and bigger area of emphasis for us and attention as we get into 2015.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: Interesting. And I guess related to that, it sounds like the 30% growth in '15 and '16 is more or less set in stone. View so far is that contribution of each of the segments to that 30% growth. Is it fair to assume that the size of those borrows could change as we move through the '15 and '16 time period?
Nicholas J. DeIuliis: Yes. I think that that's something that could change. And again, going back to a prior question, one of our jobs or responsibilities as a management team is to set not just the overall targets, let's say, 30% across the entire company but also to continually manage that as to what the most efficient path to the 30% ramp is. So every time the E&P team has an advancement or an accomplishment on lean manufacturing or something develops in the market with one commodity pricing versus a different one or within different market zones across interstate pipelines, those are the types of things that we continually monitor to tweak and optimize that drill plan for 1, 2, 3 years to get the most efficient path to the 30% ramp.
Brandon Blossman - Tudor, Pickering, Holt & Co. Securities, Inc., Research Division: And just to get this real quickly. Recompletion updates, I think I heard 8 wells, recompleted wells? Any updates on the success of those?
Nicholas J. DeIuliis: We're still very pleased with the results of those 8 wells. 6 of them were operated -- we operated 6 of them. And each of those 6 initial rates from the recompletions came back to the initial IP levels from when the wells were drilled. So we're very pleased with what we've seen so far.
Operator: The next question is from the line of Lucas Pipes with Brean Capital.
Lucas Pipes - Brean Capital LLC, Research Division: My first question is back on the MLP. There had been considerations along these lines in the past, nothing ever as concrete as today. I was just wondering in terms of how your thinking has evolved on that and why you think now is a good time to consider this more deeply.
Nicholas J. DeIuliis: I think a couple of things have unfolded, Lucas, internally and externally over the last 12, 18 months. One thing that's occurred, of course, internally is that our E&P segment has grown to a much larger level today in a very short period of time. And you know all about that and what drove that. And that's going to continue to grow. So there's a critical mass component with E&P that exists today that didn't exist not too long ago. Another thing that's happened within the thermal coal segment itself, the major capital investment initiative that we'd undertaken for the last 6 to 7 years had come to a conclusion, a successful conclusion. So the ultimate combination of that was the startup of the Harvey mine earlier this year, the overland belt projects at Enlow Fork and Bailey, along with other continuous improvement projects that we made. Those have been completed, which now puts us in more of a maintenance and production mode and steady cash flow generation mode. And I think the third thing is when you look at the market positioning of the Bailey brand and the strength that it has there coming out of, say, new regulation federally as well as all of the twists and turns that the coal supply side has been through and the power generation side has been through, we're more confident today about Bailey's marketing brand and position than we've ever been. On top of that, externally, I mentioned the external factors, you do have comps out there that exist today that weren't there maybe or a number of them weren't there not too long ago. So you take all those things together, and we're looking for ways to increase transparency on some of the parts, increased liquidity, for things like share count reduction, et cetera, and to maintain control, not losing those operational synergies and stacked customers, stacked pay, that's vehicle that has a lot of potential. And we're going to run that down to see what it looks like.
Lucas Pipes - Brean Capital LLC, Research Division: Okay, that's helpful. And then, David, you mentioned the structure earlier of the MLP. Is the CONE a good indication in terms of what you would like to keep at the CNX level? Or how should we think about that?
David M. Khani: Well, I think what you should take away is we learned a lot from the CONE structuring process. We created development companies to try to help really solve one key problem, which was how do you balance capital [indiscernible] that we spent and while maintaining very top-tier kind of distribution growth? So because we spent a lot of time on that structure and because the investor really received it very well, we have sort of the best investors, I would say, that we -- of MLPs out there that we could see. So they really received it very well. I think we'll spend the right amount of time to try to structure this appropriately and could be very different than what you see in the marketplace.
Lucas Pipes - Brean Capital LLC, Research Division: Great. And Dan, maybe lastly. In terms of timing, do you have any initial ideas what could be feasible?
Dan Zajdel: Well, we have to finish up the structuring process. And then we will -- we have to obviously get board approval for whatever we do. So we have committed to making an announcement before year end. And then we will work on the execution shortly thereafter.
Operator: The next question is from the line of Holly Stewart with Howard Weil.
Holly Stewart - Howard Weil Incorporated, Research Division: Just a couple of quick questions. First of all, I think you mentioned some short-term challenges on the liquids side in terms of downstream capacity. Could you just kind of elaborate and maybe talk about how you're addressing those?
James C. Grech: Holly, this is Jim Grech. The short term was this year, and it was with the explosive growth of the liquids volume, particularly on our Utica play. The volumes came out a lot quicker and in larger volumes than we thought. And we had to work through that through the summer. But as we've got through here and through the fall, the processing capacity working with the different processing contracts, so that we have come online, and we've worked through that. So going forward, now we -- we're getting a better feel for the volumes and the timing and when they're going to come on. We feel very comfortable that we have adequate processing capacity to handle these volumes going forward. So it was a very short-term situation this year, where the good news was we had a lot more volume than we had planned.
Holly Stewart - Howard Weil Incorporated, Research Division: Okay. And then, Jim, is that -- was there any impact there? It looked like NGL pricing was a lot lighter as a percentage of WTI during this quarter. And it actually looked like it was in 3Q of last year as well. So did that have anything to do with it?
James C. Grech: No. I don't think so, Holly. Maybe it had been more of the composition of the NGLs. A lot of our NGLs were -- are priced more off of the premiums or -- no, I shouldn't say premiums -- priced off of the Mont Belvieu pricing, the condensate really follows the NYMEX Light Sweet Crude more for the pricing. So I think it would be more of the composition of the NGLs as to what we're looking at would be the reason for the difference.
Holly Stewart - Howard Weil Incorporated, Research Division: Okay. And then maybe, Dave, could you just give us a free cash flow number for the coal business for the quarter?
David M. Khani: Yes. So if you look -- we will give it to you 2 ways. If you look at the capital we spent, which was about $60 million for the coal business, we generated somewhere -- we generated $150 million of free cash -- of cash flow from operations if you include the legacy liabilities. It would be about $194 million without the legacy liabilities. So you can do the math with or without. And I break it out because, obviously, we're -- I mean, we made big changes this quarter, and we'll reduce those numbers looking forward.
Operator: Our next question is from the line of Evan Kurtz with Morgan Stanley.
Alexander Levy - Morgan Stanley, Research Division: This is Alex Levy filling in for Evan. Could you talk about some of the geological issues you faced in the thermal coal segment and when you think those conditions might normalize?
Nicholas J. DeIuliis: Well, the Pennsylvania coal operations, there's 3 distinct coal mines and 5 longwalls across the fleet. So the approach we take with managing those and operating those in the portfolio, at any given time, you can have 1 of those 5 that are in maybe better-than-expected conditions and then 1 of those 5 are portions that are worse-than-expected. Enlow Fork had the challenging conditions over the last quarter or 2. And those conditions have improved significantly as we speak today. And we'll still manage through those. But it's normal course on how we manage our portfolio. And I think the third quarter was a really good example of that because despite those issues at Enlow Fork, 1 longwall within the fleet, let's say, we are able to meet and exceed production guidance on the coal segment because we manage the portfolio accordingly, we picked up the slack elsewhere. So it's more of just some color on how the quarter was managed. In terms of the production tons, we're still able to hit the targets and some.
David M. Khani: And our costs came down year-over-year, which is one of our internal targets as well.
Alexander Levy - Morgan Stanley, Research Division: Understood. And then on the OPEB -- on the changes you make to your OPEB liabilities, I see that you've accrued a $46 million expense for cash payments you're going to be making. Is that the total extent of the cash payments that you'll make to secure the changes? Or will there be additional payments?
David M. Khani: That's correct. That is the total payment.
Operator: And our next question is from the line of Michael Dudas with Sterne Agee.
Michael S. Dudas - Sterne Agee & Leach Inc., Research Division: Nick, I wanted to push a little further on your prepared remarks about what's happened in the last few months in the energy markets and some of the competition in the E&P business being over-levered, et cetera. How do you think that's going to turn out in the medium term? And how is that going to help or impact CONSOL for either positive or negative basis?
Nicholas J. DeIuliis: I think what the impacts are on pricing and basis, I guess, it goes back to that saying that the only cure for low prices are low prices. There's going to be at some point sort of a survival of the fittest occurring on run rates and who has liquidity and who has the acreage positions to stay on the production ramps. Not everyone is going to be able to do that. So there will be a supply response. We've seen that many, many times. And I don't think this time will be any different. The other interesting dynamic that's going to occur is when we started to see this, as we speak, there are going to be various either asset blocks or entities that are put on the block for sale, either in the interest of raising liquidity to be able to address the short-term pricing issues or just because, in total, there isn't an investment thesis anymore for whatever plans were laid out for that acreage position. So you're going to see, I think, a supply and drill rate response here. We've seen that many times in the past. And I think we're also going to see more and more assets come up on the market for sale within the Marcellus and Utica as things continue to track along at this pricing level for NYMEX and basis differential.
James C. Grech: And Mike, this is Jim Grech. I think one of the other things you're going to see as well is this capacity of FT from companies that have went long on the FT and now are going to need to release it. And we're starting to see some trends of that, some signs of that. I shouldn't say it's a trend yet, but we're starting to see signs of release capacity becoming available in the market. And that's -- we think that's very valuable from a CONSOL point of view not having signed up for 20 or 30 years for FT and be able to get this release capacity at some good prices. So we think you're going to start seeing more of that as time goes on here.
Operator: Our last question comes from the line of Jeffrey Campbell with Tuohy Brothers.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Slide 62 mentions CONE gathering, prospected to build dry gas gathering for the full amount for [ph] development. Will the capital for that development come from the JV, CONE or a mix?
Nicholas J. DeIuliis: The CONE -- well, I think that -- well, I'll have to come back to you with an answer. We have 3 development companies with different ownership positions. So at a minimum, the CONE parents will pay for it. And then the question will be how does it flow down to the MLP itself. We'll come back to you with an answer.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Okay, that's a good start. Further, regarding the recompletions. Is it correct to assume that this inventory is restricted to dry gas wells? And also, is the [indiscernible] well inventory that you're indicating now, is that a hard number? Or can it still grow further?
David M. Khani: It can still grow further as technologies change in advance. We -- what we do today compared to what we're doing in 5 years may be very different. So there may be additional opportunities, but they are both wet gas and dry gas.
Jeffrey Campbell - Tuohy Brothers Investment Research, Inc.: Okay. And last question I'd like to ask, you showed have an average lateral length of 9.2 [indiscernible] in Southwest PA. Noble separately described a 12,400 foot lateral at Moundsville, which they said was the longest one in Appalachia. Are you bumping up to the performance limit and lateral length? And if not, how much further out can these laterals go and properly balance economic and performance benefits?
David M. Khani: That's something we continually look at. And again, as technology changes, drilling an 8,000-foot lateral 5 years ago was considered to be the max limit. We're finding that we can drill further and further. It's really not the drilling that's going to limit, I think, the lateral length as much as it may be the completion. The further out you get, the more difficult it is to bump a frac stage 12,000 foot out in the lateral. We can do it, but that is probably more of a limiting factor than the actual drilling itself.
Dan Zajdel: With that, that concludes our call. Tom, could you instruct our callers on the replay information?
Operator: Ladies and gentlemen, this conference will be available for replay after 12:30 Eastern Time through midnight on November 5, 2014. You may access the AT&T teleconference replay system at any time by dialing (800) 475-6701 and entering access code 338334. International participants, please dial (320) 365-3844. And thank you for your participation, for using AT&T executive teleconference. You may now disconnect.